Operator: Good morning and good evening, ladies and gentlemen. Thank you for standing by and welcome to ATRenew Inc.’s Fourth Quarter and Full Year 2023 Earnings Conference Call. At this time, all participants are in a listen-only mode. We will be hosting a question-and-answer session after management's prepared remarks. Please note, today's event is being recorded. I will now turn the call over to the first speaker today, Mr. Jeremy Ji, Director of Corporate Development and Investor Relations of the company. Please go ahead, sir.
Jeremy Ji: Thank you. Hello, everyone. Welcome to ATRenew's fourth quarter and full year 2023 earnings conference call. Speaking first today is Kerry Chen, our Founder, Chairman, and CEO. And he will be followed by Rex Chen, our CFO. After that, we will open the call to questions from analysts. The fourth quarter and full year 2023 financial results were released earlier today. The earnings release and investor slides accompanying this call are available at our IR website, ir.atrenew.com. There will also be a transcript following this call for your convenience. For today's agenda, Kerry will share his thoughts about our quarterly performance and business strategy, followed by Rex, who will address the financial highlights. Both Kerry and Rex will join the Q&A session. Let me cover the safe harbor statements. Some of the information you will hear during our discussion today will consist of forward-looking statements. And I refer you to our safe harbor statements in the earnings press release. Any forward-looking statement that management makes on this call are based on assumptions as of today, and that ATRenew does not take any obligations to upgrade our assumptions on these statements. Also, this call includes discussion of certain non-GAAP financial measures. Please refer to our earnings press release, which contains a reconciliation of non-GAAP measures to GAAP measures. Finally, please note that unless otherwise stated, all figures mentioned during this conference call are in RMB and all comparisons are on a year-over-year basis. I'd now like to turn the call over to Kerry for business and strategy updates.
Kerry Chen: [Foreign Language] [Interpreted] Hello, everyone, and welcome to ATRenew's fourth quarter and full year 2023 earnings conference call. In 2023, ATRenew achieved record breaking revenues and profits with a continuously strengthened pre-owned supply chain capability and an ongoing increase in brand recognition. Our total revenues reached RMB13 billion, representing a year-over-year increase of 31.4%, significantly outpacing the growth rate of the secondhand industry and consumer sector as a whole. I would like to express my gratitude to our colleagues on the front line and in all departments for their hard work. Our total transaction volume in 2023 was 32.3 million units. We adhere to the strategy of prioritizing self-operated business that provides better services and user experience. This focus has yielded significant results with our 1P transaction volume increasing by 50% year-over-year in 2023. Regarding third party platform businesses, we actively adjusted our development strategy and made efforts to develop merchant ecosystem and service capabilities. The overall platform take rate increased by 92 basis points to 5.39% in 2023. The number of registered merchants on PJT marketplace reached 596,000, a strong growth of 46.2% compared to the previous year, which laid solid foundations for future development. 2023 was also a year of consolidation and efficiency. We further solidified our secondhand supply chain capabilities, providing more valuable services on our platforms. At the same time, we were also more disciplined at the pace of our expansion and investments in new initiatives. At the profit level, we achieved a solid non-GAAP operating profit of RMB252 million with a non-GAAP operating profit margin of 1.9% exceeding our target for the year. Those achievements are firmly grounded in our strategic focus. Firstly, we appear to effective customer acquisition scenarios on the recycling front. Secondly, strengthening robust supply chain capabilities as a foundation. Thirdly, driving efficiency improvement through technology. And fourthly being agile in seizing new traffic opportunities and capturing new customer demand. Now, I will walk you through these four strategic perspectives. First, on the recycling front, we continue to successfully execute our customer acquisition strategy by leveraging our precise recycling scenarios. By the end of 2023, we have presence in 268 cities in China, reaching consumers through 1,819 AHS stores offline. We have constantly enhanced our service accessibility in high quality business districts and communities. We further penetrated the market by combining offline stores with online platforms. Over the past year, consumer awareness and trust in our AHS recycle brand have steadily increased, especially in big cities where recycling rates are improving. By leveraging our physical stores, premium service reputation and retail partner [indiscernible], we precisely target user mainstream recycling scenarios. With competitive prices and higher efficiency, we obtained high quality sources of freight on goods, further fortifying the group's supply chain capability in the main business lines. In June 2023, we were pleased to announce the official collaboration with Apple for its recycling and trading services in Mainland China. Our partnership is designed to meet user demand for convenient recycling and low cost upgrades to brand new iPhone products. This service is now available at the brand's official website and offline flagship stores. Mostly during the Q4 despite flat iPhone sales, this collaboration contributed RMB300 million to our revenues. Additionally, in terms of e-commerce partners, we have solidified our collaboration with JD's Mobile and Electronics Retail departments, offering one stop single device and multi device trading services. This caters to JD’s vast user base who seek more cost effective shopping options and better recycling experiences when upgrading their gadgets. Overall, the gross recycling value of trading business on JD channels doubled in 2023. By expanding our multi cash flow recycling efforts, we have further strengthened the appeal of our recycling scenarios for users. The updated slogan, [indiscernible] Recycling More for You, reflects our commitment to expanding into additional categories beyond our core focus on consumer electronics. We are dedicated to fulfilling the growing demand for recycling and cash for high value -- cash back for high value categories such as luxury goods, gold and vintage wines. Looking ahead, we aim to expand to lower value item recycling, while promoting the recycle and reuse of more idle goods. Building multi category recycling capabilities primarily involves upgrading store experiences and IT systems, while co-establishing fulfillment capabilities with professional service providers. Our fulfillment strategies vary with the residual value of goods. With in-store drop off and doorstep pickup options, users could circulate more used products with ease. By the end of 2023, we have introduced multi category recycling services into 252 AHS stores. During the year, the GMV for non-electronic products at the recycling front exceeded RMB1 billion. At the same time, we bring AHS Recycle brand closer to communities and users' daily lives. Our extended presence in communities and commercial areas, coupled with an increasing density of multi category recycling stores, encourages customers to reuse our services more often. Moving on to our supply chain processing capabilities. Our highly efficient supply chain management ensures recycled goods are inspected at a lower cost, while achieving accurate grading and pricing results. This allows a consistent and stable supply of goods. We have also improved our operation centers' shipping and receiving capacity and enhanced their space utilization efficiency. Furthermore, our main operation centers are equipped with compliant refurbishment capabilities. The annual revenue from our self-operated combined refurbishment business reached RMB810 million, accounting for 9.4% of the core 1P recycling business segment revenue. Mostly, in the fourth quarter of 2023, revenue from the refurbishment business increased by 41.5% compared with the previous year, while the gross profit margin was 1.6 percentage point higher. This is mainly attributable to our intelligent supply chain system, which enables more accurate identification of devices suitable for refurbishment, resulting in a higher number of devices in various conditions being selected for the process. We actively participated in the formulation of industry standards, while leveraging our supply chain advantages to drive industry prosperity. In 2023, as a major [drafting] (ph) party, ATRenew played a key role in establishing the Electronic Product Refurbishment Industry Committee initiated by the Shenzhen Electronics Industry Association. We contributed to various group standards, including general requirements for refurbishment, labeling and information disclosure, quality management and technical specifications. These standards serve as industry references for intellectual property protection, product data security quality, as well as user rights protection. On distribution, our advantages of an integrated B2C plus B2B platform were further magnified. In 2023, GMV of the core self-operated retail business totaled RMB2.88 billion. Leveraging our supply chain strength, Paipai has strengthened its 1P2 consumer retail capabilities, meeting consumer demand for high quality pre owned products. To highlight 1P’s consumer compliant refurbished product sales contributed RMB560 million in revenue. In 2023, we introduced a new confinement model to address the challenges faced by secondhand industry merchants, difficulties in operating to consumer e-commerce stores and the struggle of small businesses. Through PJT Marketplace, we effectively connect Paipai stores with small and medium sized merchants, thus removing barriers that previously hindered small merchants from integrating their supply into our platform. Merchants not only need to list their products and confirm pricing, while the platform takes care of the store operations, sales, customer services and after sales support. This initiative significantly lowers the entry barriers for B2C merchants, enriches the platform supply sources and ensures a seamless purchasing experience for users. GMV for the consignment business summed up RMB70 million in 2023. In the fourth quarter of 2023, the overall business of PJT Marketplace rebounded, primarily due to a recovery in trading activities and the 35.3% year-over-year increase in the number of active merchant users. Additionally, we took the strategic decision to restructure the low commission rate [spare stock] (ph) business and this reduced our cost and optimized the overall take rate of B2B platform. As a result, in the fourth quarter of 2023, service revenues from PJT Marketplace increased by 14.9% year-on-year and the overall take rate rose by 69 basis points to 6.02%. On an annual basis, its overall take rate reached 6.17%, a significant improvement of 189 basis points compared to the 2022 level. We are proud of the proven business model of PJT Marketplace as it's an indispensable infrastructure of the industry. Looking ahead, we will further open up our supply chain advantages and become a high quality supplier for pre-owned products in the industry. At the same time, we will provide models suitable for B2C retail and steady supply through online e-commerce platforms, live streaming channels as well as offline mobile phone retail networks and service stations. In an environment where consumers are more cautious with their expenses, ATRenew aims to leverage its competitive pricing and quality assurance of pre-owned products to foster mutual success with our partners. Thirdly, in terms of technology and efficiency, we continue to promote application of automation technology. Firstly, we have enhanced the accuracy of quality inspection. The automated quality inspection system represented by Matrix 3.0 has reduced losses caused by quality inspection errors by 19% throughout the year. Secondly, with our focus on 1P business, we improved capacity utilization in our automated operation centers in South and East China. Thirdly, through optimizing supply chain management for receiving and delivering goods in different locations, we reduced logistics costs. As a result of these initiatives, our non-GAAP fulfillment expense as a percentage of total revenue has continued its downward trend, reaching 8.5% for the full year 2023, significantly down from 10.9% in 2022 and this underscores our dedication to achieving further cost reduction at scale. In the overseas market, we are delighted to see strong interest in our automated technology for Korean owned consumer electronics. Beyond the Mainland China market, our quality inspection technology has been successfully deployed in Hong Kong and Japan. In November 2023 -- excuse me. In October 2023, we expanded our global footprint by collaborating with a European partner to bring our one stop recycling kiosk solution to Sweden. Our one stop solution effectively addresses the international demand for C2B recycling services. Moving forward, we remain committed to our growth trajectory and will continue to explore the global circulation of pre-owned products. Looking ahead to the first quarter and the full year of 2024, we believe that ATRenew operates in a sustained circular economy that is impervious to economic fluctuations and technological changes. We identified several key trends in the sector. On the recycling front, we see a definite demand for convenient, high priced and trustworthy recycling services. On the purchasing end, we see a stronger demand for value for money goods from service consumers. On the fulfilment end we see a unchanging need from secondhand merchants for efficient and hassle free trading and logistics solutions. In late February this year, President Xi emphasized the promotion of new round of large scale equipment upgrading and consumer goods trading. As a leading company in this field, we are strategically positioned to capitalize on this upward trend and better facilitate JD and [indiscernible] owners' trade in programs. Once again, it demonstrates that recycling and trade in are encouraged by national policies as a long term stable industry with high certainty and low policy risks. Going forward, we will adhere to our long term core strategy and fortify our business foundation, while enhancing brand awareness for AHS Recycle. We aim to address users' fundamental pain points and collaborate with industry partners to explore the untapped potential of high quality secondhand products. We will maintain patience in the long run, while steadily releasing profits and achieving growth. Finally, I am delighted to announce an international accolades. In November 2023, ATRenew was honored as highly commended by the judging panel at the Reuters Global Business Responsibility Awards in the Circular Transition category. This marks a milestone for ATRenew as it is the first time we have stood shoulder to shoulder with global multinational companies such as Oracle, Schneider Electric and PepsiCo. The recognition from Reuters and the expert panel is a testament to our innovation and our technological achievements. Moving forward, we will continue to deepen our commitment to the circular economy, driving sustainable industry development through technological innovation. Now, I'd like to turn the call over to our CFO, Rex, for financial updates.
Rex Chen: Okay. Hello, everyone. I'm pleased to report that 2023 was a year of significant achievements for our company. Both revenue and operating income saw better than expected results. Total net revenue increased by 31.4% to RMD13 billion. And adjusted operating income of 2023 totaled RMB251.7 million, a remarkable 36.5 times the number of 2022. Cash inflow from operating activities was healthy, totaling RMB236 million. As Kerry said, 2023 was our year of consolidation and efficiency. Moving on to the fourth quarter 2023, we are pleased to announce another profitable quarter as we recorded another new record in non-GAAP operating income on revenues that once again exceeded the top end of our guidance. Now, let's take a detailed look at the financials. Please note that all amounts are in RMB and our comparisons are on a year-over-year basis unless otherwise stated. In the fourth quarter, total revenues increased by 29.9% to RMB3,873.6 million, driven by strong growth in net product revenues and a rebound in service revenues. Net product revenues increased by 31.1% to RMB3,522.5 million, while net service revenues was $351.1 million, representing an increase of 19.7%. Growth in net product revenues was primarily driven by an increase in sales of pre-owned consumer electronics through both PJT and the pipeline marketplaces, as well as offline channels, of which sales of 1P refurbished devices totaled RMB278.2, which increased by 41.5% sequentially. The increase in service revenues was primarily due to the recovery of Paipai and the PJT marketplaces, with efficient online and offline customer acquisition and better execution. Overall take rate of our marketplaces went up 56 basis points from the fourth quarter 2022 to 5.36% in the fourth quarter of 2023. Now, let's discuss our operating expenses. To provide greater clarity on the trends in our actual operating based expenses, we will also discuss our non GAAP operating expenses, which better reflect how management views our results of operations. The reconciliations of GAAP and non-GAAP results are available in our earnings release and the corresponding Form 6-K furnished with the SEC. Merchandise costs increased by 32.9% to RMB3,150 million. The increase was in line with the growth in product sales. Gross margin at the group level was 18.7% in the fourth quarter. Gross margin for our 1P business was 10.6%. In the fourth quarter, AHS Recycle provided its official trading services for Apple. With the release of the iPhone 15 services, we implemented a proactive approach to attract customers with aggressive pricing strategies, causing gross margin compression. We believe that as our market share within these channels grows, the gross profit will gradually return to normal levels. Fulfillment expenses increased by 9.5% to RMB301.1 million. Excluding share based compensation expenses, which we will refer to as SBC from hereon, non GAAP fulfillment expenses increased by 14% to RMB295.6 million. Under non-GAAP measures, the increase was primarily due to an increase in personnel and logistics costs as we conducted more recycling and transaction activities year-on-year. Non GAAP fulfillment expenses as a percentage of total revenues decreased to 7.6% from 8.7%. The overall decrease in the rate of fulfillment expenses reflects the impact of economies of scale and efficiency improvements through automated operations. Specifically, as the number of 1P orders grow, the average fulfillment cost in product was reduced. Selling and marketing expenses decreased by 46.6% to RMB317 million. Excluding SBC expenses and amortization and impairment loss of goodwill and intangible assets, non-GAAP selling and marketing expenses increased by 11.0% to RMB246.6 million, primarily due to an increase in expenses related to marketing activities. Non-GAAP selling and marketing expenses as a percentage of total revenues decreased to 6.4% from 7.5%. General and administrative expenses decreased by 18.8% to RMB62.2 million. Excluding SBC expenses, non-GAAP G&A expenses decreased by 17.4% to RMB45.2 million, primarily due to a decrease in headquarter office expenses and fees related to professional services. Non GAAP G&A expenses as a percentage of total revenues decreased to 1.2% from 1.8%. Technology and content expenses increased by 17.1% to RMB63.8 million, excluding SBC expenses and amortization and impairment loss of goodwill and intangible assets, non-GAAP technology and content expenses increased by 50.6% to RMB58.3 million. The increase was primarily due to an increase in personnel costs in connection with the upgrades of the company's operating center and systems. Non GAAP technology and content expenses as a percentage of total revenues increased to 1.5% from 1.3%. As a result, our non-GAAP operating income was RMB81.6 million in the fourth quarter of 2023, representing a significant increase of 135.8% year-on-year. Non GAAP operating profit margin was 2.1% compared to 1.2% in 4Q 2022. To provide some content regarding our balance sheet, our inventories amounted to RMB1 billion at the end of the fourth quarter of 2023, representing a sequential increase of RMB344.8 million compared with the end of the third quarter of 2023. This increase was primarily due to a surge in recycling volume generated from Apple's official trading program. However, it had a limited impact on our operating cash flow since we have a payment term of 45 days and effectively manage relevant payables through bank guarantees. As of December 31, 2023, cash and cash equivalents, restricted cash, short term investments and funds receivable from third party payment service providers totaled RMB2.9 million. Our strong cash position safeguards a sustainable growth outlook. During the fourth quarter of 2023, we repurchased 4.5 million ADSs in the open market for a total consideration of $8.1 million. By December 31, 2023, we had repurchased a total of 18.4 million ADSs for $56.5 million under our share repurchase programs. Today, we are delighted to announce a new share buyback program that will allow us to repurchase up to $20 million worth of our shares over the next 12 months based on our confidence in our value creation, business growth momentum, and strong cash flow. Now, turning to the business outlook. For the first quarter of 2024, we anticipate total revenues to be between RMB3,550 million and RMB3,650 million, representing an increase of 23.6% to 27.1% year-over-year. Please note that this forecast only reflects our current and preliminary views on the market and operational conditions, which are subject to change. This concludes our prepared remarks. Operator, we are now ready to take questions.
Operator: We will now begin the question and answer session. [Operator Instructions] The first question comes from Joyce Ju with Bank of America. Please go ahead.
Joyce Ju: [Foreign Language] Thank you for taking my questions, and congratulations on the very solid results this quarter. I would like to ask about your overall growth guidance for 2024. Additionally, I also want to have some color on what is the growth target for the multi-category recycling business. Thanks a lot.
Kerry Chen: [Foreign Language] [Interpreted] Thank you for your questions. During 2022 and 2023, we saw a shift in consumer behavior. Our users focused transition from consumption upgrades to an emphasis on value for money. During this transformation, we noticed a swift rise in user demand for [indiscernible] and reflecting in exchange for cash. As we mentioned, our one year revenue grew 34.4% year-over-year in 2023 [indiscernible] through JD more than doubling compared to the previous year. We will continue to drive the core growth flywheel of 1P recycling business and to expand our industry value chain through economy of scale, we aim to expand our operating profit margin further by bringing our operational efficiency to the next level. We are steadfast in investing in the brand of AHS Recycle to unleash growth of traffic and economy of scale further. In terms of our platform business, we strengthened the synergies between PJT Marketplace and Paipai Marketplace and provided small merchants with upgraded consignment services. This helped us build up a more robust 2C supply and meant we could offer a more diverse selection of high quality secondhand products to our users. Looking ahead to 2024, we placed user experience as our top priority, while providing the utmost support to the recycling and trading offerings of jd.com and Apple's official trading program. We believe that the support from the central government for large scale trading policies on consumer goods will benefit our collaborations with JD and brand partners. Together, we elevate consumer awareness of trade in and cost [indiscernible] as the mainstream consumption choice. Because of this, we are confident in achieving a 30% year-over-year revenue growth for our 1P business. In 2023, GMV for our multi-category recycling r business surpassed RMB1 billion. This business has grown rapidly in scale. We set a modest take rate for this business segment in 2023. We trust there is ample growth potential in the take rate. In 2024, our focus is enhancing user awareness of AHS Recycle as a leading national recycling brand. Our core strategy is still to build an even better user experience. To achieve this, we will provide more structured product data on our platform and improve our pricing capabilities. This will drive more recycling transactions across a wider range of categories. Thank you for the question
Operator: The next question comes from Xiaoxin Chen with CICC. Please go ahead.
Xiaoxin Chen: Thanks for taking my questions and congratulations on good results. I have two questions. First, could you provide more color on the higher than expected profitability this year? And what's your profitability target for 2024 for the medium to long term? Second, in late 2023 and early 2024, the iPhone 15 series faced some challenges from Huawei. How does management view the challenging competitive landscape among the mobile phone manufacturers? And how did your Apple trading business performed in Q4 2023? And what are your scale and profit targets for 2024? Thank you. [Foreign Language]
Rex Chen: Okay. Thank you. So I will take your first question and Kerry, our CEO will take your second questions. Okay. So for your first question, in 2023 we once again achieved the breakthroughs in terms of cost efficiencies and other than capital measures, fulfillment, selling and marketing, G&A and administrative and technology and content expenses as a percentage of revenues were 8.5%, 7.3%, 1.5%, and 1.3%, respectively. These figures correspond to year-over-year decrease of 2.4%, 1.6%, 0.1%, and 0.6%, respectively. In terms of fulfillment, we achieved a remarkable efficiency improvement. Our efficient system of regional operating centers and centralized self-operated operation stations have further improved our inspection quality and cost controls. The scale effect created by the use of automation technology at operating centers has also had a positive impact. We are now seeing lower costs related to sorting, quality inspection and warehousing. When compared to our previous approach of using decentralized jointly operated stations, we have also leveraged big data to optimize small item delivery with low cost shipping. This has driven down shipping and receiving costs. Overall, our operating center expenses and logistics costs decreased by 9% and 8%, respectively, during 2023. This resulted in a non-GAAP fulfillment expense of RMB1.1 billion, a year over year increase of over 2%. Our total non-GAAP selling and marketing expenses in 2023 were RMB940 million. This was a year over year increase of 7.8%, also a lot lower than our revenue growth rate over the same period. This was mainly driven by [HR] (ph) efficiency improvements from deploying advanced digital CRM tools of the B2B sales team. The result was a 19% cost reduction compared to the previous year. In 2023, non GAAP general and administrative expenses were RMB190 million, a year-over-year increase of 21.9%. This was mainly due to office rent and various other administrative costs, including employee travel, training, and benefits. Non-GAAP technology and content expenses were RMB170 million in 2023, thanks to the gradual maturity of our platforms technology and the official launch of our South China Automation Operating Center, we did not see significant cost growth in this category. In addition, the cloud migration initiative we launched in 2022 was completed in 2023. This contributed to an overall decrease in technology and content expenses as a percentage of revenue, representing an improvement in scale effect. The breakdown above highlights the enhancements that led to the increase in our non-GAAP operating profit in 2023. For path to profitability growth, our primary focus are 1P gross margin and operating efficiency. Our long term goal is to improve our non-GAAP operating profit margin by 1% every year. In terms of our 1P business, we prioritize ability to control our first hand supply, while also enhancing user awareness of our C2B brand, AHS Recycle. We saw the first hand supplies with competitive recycling prices. Meanwhile, we continue to unleash our self-operated refurbishment businesses while we diversify the standard of supply to pipeline. We expect a large proportion of 2C sales as we seek a higher profit margin of 1P revenue. I'd also like to add more color on our collaboration with Apple. In the first quarter, our Apple business achieved sales of RMB3 million. However, as this business is relatively new and is still being refined, this gross profit margin is below an ideal level. Going forward, we plan to optimize our pricing mechanism to strike a balance between profitability and growth. In terms of operating efficiency, we are constantly optimizing our forward cost to revenue ratios. Our automation capabilities will continue to improve our fulfillment efficiency. The inspection cost per device was diluted due to an increase in ASP. In terms of selling and marketing, we try to maximize effectiveness of our B2B sales team. At the same time, we plan to strategically leverage social media traffic to attract customers. The algorithms and location based service capabilities of short video platforms, such as [Douyin] (ph) will help us target potential users with greater accuracy. This approach has added benefit to further strengthen our sourcing capabilities and the market position. We recognize that the key to building a successful secondhand business also lies in our ability to acquire suppliers through brand power. As such, our AHS Recycle brand is pivotal for our long term development path. At this stage, we believe strategically, allocating appropriate resources to social media traffic will solidify our long term competitive position in this dynamic market.
Kerry Chen: [Foreign Language] [Interpreted] I will answer the second question. We have systematically rolled out our recycling and trading services on Apple's official website and at 47 flagship stores. The service and pricing were highly commended by users on social media spontaneously. In terms of scale, we secured a significant amount of first hand supply by leveraging the substantial volume of new iPhone shipments in the fourth quarter and by maintaining competitive recycling prices. The business contributed RMB300 million in product sales revenue during the fourth quarter. This was a nine fold increase compared to the third quarter. Our recycling volume is greater than our sales volume. This proves that user acceptance of Apple’s trade-in for new products is increasing and there is still much room for improvement in the penetration rate of trade-in products. We will maintain flexible adjustments to our pricing strategy based on market feedback to optimize our gross profit margin. Importantly, we do not handle front end fulfillment and marketing for the Apple business. As a result, even though this business segment has a narrow gross profit margin, it has the potential to contribute a relatively higher operating profit margin. Thank you for the question.
Operator: Due to the time limit on the call, I'd like to hand the conference back to management for closing remarks.
Jeremy Ji: Thank you. Thank you all again for joining us today. A replay of today's call will be available on our website shortly, followed by a transcript. If you have any additional questions, please feel free to email us at ir@atrenew.com. Have a nice day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.